Operator: Please stand by. Good day. And welcome to the Lamb Weston Holdings, Inc. Second Quarter 2026 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Debbie Hancock, Vice President of Investor Relations. Please go ahead.
Debbie Hancock: Good morning, and thank you for joining us for Lamb Weston Holdings, Inc. Second Quarter Fiscal 2026 Earnings Call. I am Debbie Hancock, Lamb Weston Holdings, Inc.'s Vice President of Investor Relations. Earlier today, we issued our press release and posted slides that we will use for our discussion today. You can find both on our website, lambweston.com. Please note that during our remarks, we will make forward-looking statements about the company's expected performance that are based on our current expectations. Actual results may differ materially due to risks and uncertainties. Please refer to the cautionary statements and risk factors contained in our SEC filings for more details on our forward-looking statements. Some of today's remarks include non-GAAP financial measures. These non-GAAP financial measures should not be considered a replacement for and should be read together with our GAAP results. You can find the GAAP to non-GAAP reconciliations in our earnings release in the appendix to our presentation. Joining me today are Mike Smith, our President and CEO, and Bernadette Madarieta, our Chief Financial Officer. Let me now turn the call over to Mike.
Mike Smith: Thank you, Debbie. Good morning, and thank you for joining us today. Our global teams are embracing and executing our focus to win strategy, strengthening customer partnerships, and driving cost savings. I want to thank the team for their ongoing dedication and solid execution. As I reflect on the first half of the fiscal year, we are building momentum in the business and addressing areas of opportunity. Business turnarounds are not linear, but we are pleased with the progress we are making. Specifically, we are seeing top-line strength as we focus on customer relationships, which has led to share gains. Volume growth was up 8% in the second quarter and 7% for the first half of the year. To keep up with customer demand and ensure we maintain high customer fill rates, we are reopening previously curtailed capacity in North America. North America, the largest segment of our business, is in a solid position. As we partner with customers and deliver on consumer insights, the team is leaning into Lamb Weston Holdings, Inc.'s history of quality, innovation, and value, which has resulted in several new item launches. Our cost savings plan is well on its way, and we expect to deliver our target for the year. But equally as important, we are building a culture of continuous improvement within the organization that will unlock future opportunity and strengthen us competitively. And we are reducing volatility with customer contracting and raw procurement strategies. Managing our capital efficiently, we are delivering strong free cash flow, and our capital spending is down. In addition, we repurchased $40 million of shares during the second quarter. And finally, in line with our longstanding commitment to returning cash to shareholders, and in keeping with our annual dividend increase since becoming a public company, the board approved a 3% increase to the quarterly dividend. Five months after unveiling our Focus to Win plan, we are making solid progress. We are winning with customers as we focus on the principles that made Lamb Weston Holdings, Inc. the industry gold standard: category-leading innovation, exceptional products, and customer-centric partnerships. There is meaningful opportunity ahead of us. Strengthening customer partnerships is the cornerstone of our strategy, and where we have spent much of our time the last several months. We continue to drive momentum in retention and wins. I, along with our teams, are meeting with our global customers during what remains a dynamic consumer environment globally. Our goal is to drive true partnership, in-service joint business planning, menu innovation, and importantly, how we can grow together. We have line of sight to volume growth for the balance of the year. We ended the second quarter with more than 90% of our open contracted volume negotiations concluded, including all material contracts. By the end of calendar 2025, we will have completed negotiations on the vast majority of our large chain contracts, supporting our customers with price and trade. We have gained share, including with new and growing customers. Bernadette will speak in more detail about restaurant traffic trends, but our customer success has allowed us to increase volume this year despite soft traffic. To maintain our high service levels and customer fill rate standards, we restarted North American lines that were previously curtailed. This production began late in the second quarter and includes additional production lines to what we discussed during our first quarter call. With the capacity being reintroduced into our market and our network, capacity utilization rates in our North America facilities are returning to more optimal levels versus the very high utilization rates we recently experienced. We are benefiting from our global footprint. While North America accounts for approximately 90% or more of our profitability, the international markets are estimated to represent 75% of the global industry volume growth through 2030. This is an attractive opportunity that we are well-positioned to capitalize on. Our global manufacturing footprint and supply chain network enable us to partner with existing new customers around the world, capturing volume in fast-growing markets, such as Asia and Latin America. Our global footprint enables us to partner with the largest customers around the world, tap into faster-growing markets, and leverage global manufacturing supply chain to diversify supply and risk. In the near term, as we discussed during our first quarter call, the international environment remains competitive. In Europe, a strong potato crop has coincided with softer restaurant traffic and lower export demand due to localization of recently added production in other regional markets. Our European business is also more open and less contracted, which contributes to pricing pressure. And while there has been some recent consolidation in the market, it is too early to assess its impact. In Latin America, where there are few established players, we are building a strong foundation for long-term growth. Our new facility in Argentina is already producing and qualifying product for key customers. The region's market is running quickly, and as we scale, we expect to capture meaningful share and strengthen our position as a preferred supplier. We are actively working to rebalance supply and demand within our network, better leveraging underutilized assets and ensuring we have the right assets globally in the right places to serve customers in our priority markets and channels. Shifting to our achieving executional excellence, our cost savings initiatives are on track. As part of these efforts, we are building a truly global supply chain with the customer at the center of everything we do. Manufacturing and the centers of excellence are working as one, delivering improvements in run rates, safety, becoming better aligned on how we measure ourselves and how our customers measure us. In addition, we are investing in tools that will help improve our demand and supply planning as we optimize our supply chain. Innovation is another core pillar of our focus to win strategy. Internationally, we have launched our new Snap Prize, which is our crispy fast fry. An innovation that allows for crispy and fast oven preparation. Our testing of this product is ongoing, and we have had early success expanding with airline customers. This innovative product opens additional market opportunities to sell hot, crispy, and delicious fries where we could not in the past. Finally, a quick update on the crop, which is consistent with the update we provided with first quarter earnings and demonstrates the focus we have on planning our North America raw needs. We have completed the harvest, and we are processing from storage across our growing regions in both North America and Europe. Overall, yields were above average, and quality was average in both North America and Europe. I will now turn the call over to Bernadette to review the quarter and our outlook.
Bernadette Madarieta: Thank you, Mike, and good morning, everyone. I am starting on slide 11. Second quarter net sales increased 1%, including a $24 million benefit from foreign currency translation. On a constant currency basis, net sales were essentially flat versus last year. Volume rose 8%, driven by customer wins, share gains, and strong retention, especially in North America and Asia. This growth came despite softer restaurant traffic, which speaks to the strength of our customer partnerships and execution. In the US, QSR traffic was flat over the trailing three-month period of August, September, and October. Within that, QSR chicken grew, while QSR burger traffic was down 3%, improving slightly in October. French fry volume in North America food service was up slightly over the same three-month period, reflecting continued demand resilience. Internationally, restaurant traffic in most markets declined, including the UK, our largest international market, which was down about 3%. Even so, our teams delivered growth in this environment, which is a testament to their focus and execution. Price mix declined 8% at a constant currency, primarily due to the carryover and current year impact of price and trade to support customers as well as mix shifts towards lower margin sales. To summarize, we delivered strong growth and held net sales essentially flat in a tough traffic environment, positioning us well as we move into the second half. Looking at our segments, North America net sales were essentially flat compared with the prior year. Volume increased 8%, supported by recent customer contract wins and share gains. Price mix declined 8%, reflecting the carryover and current year impact of price and trade to support our customers and unfavorable mix. In our international segment, net sales increased 4%, including a favorable foreign currency impact of $23 million. At constant currency rates, net sales declined 1%. Volume grew 7%, while price mix at constant currency declined 8%, primarily due to pricing actions in key international markets to support customers and unfavorable mix. Asia, including China, once again led our volume growth in the quarter, and volume also grew with multinational chain customers. In Europe, a strong crop and soft restaurant traffic has pressured pricing as incremental industry capacity in local regional markets has reduced exports. We have taken steps to support our customers with price and trade, and expect these actions will continue through fiscal 2026. At the same time, we are actively working to rebalance supply and demand, ensuring we have the right assets in the right places to serve our customers in our priority markets. In Latin America, we continue to ramp up production at our new facility in Argentina. As we mentioned last quarter, it will take time to reach target utilization levels as we qualify lines and bring on new customers. During this ramp-up, fixed costs will be spread over lower production volumes, resulting in higher cost per pound for the remainder of the year. While reaching optimal production will take time, we see this as a significant opportunity to drive volume growth and margin expansion over the coming years. Let's now turn to profitability, where we continue to see the benefits of our cost savings initiatives and disciplined execution even as we navigate mix and pricing headwinds. On slide 12, as expected, adjusted EBITDA declined $9 million compared to last year, to $286 million. Adjusted gross profit was in line with expectations, down $16 million year over year, primarily due to unfavorable price mix. This was partially offset by higher sales volume, benefits from our cost savings initiatives, and lower total manufacturing cost per pound. Our cost-saving efforts are not only reducing costs but also improving processes and efficiencies across our operations, positioning us well for the future. Input costs outside of raw potato prices increased in the quarter, driven by tariffs, labor, fuel, power and water, and transportation rates. While agreements in principle for palm oil tariff exemptions from Indonesia and Malaysia are in place, they have not yet been finalized, so we continue to forecast these expenses. Adjusted SG&A expenses declined $8 million versus the prior year quarter, reflecting benefits from our cost savings initiatives partially offset by compensation and benefit accruals. Adjusted equity method investment earnings was $3 million, a decline of $8 million as a result of lower production volume and an unfavorable mix of sales at our joint venture in Minnesota. Overall, while we faced headwinds from price mix and input cost inflation outside of potatoes, we delivered solid volume growth and meaningful cost savings. Turning to segment EBITDA performance on Slide 13. Adjusted EBITDA in our North America segment increased 7% or $19 million versus the prior year quarter to $288 million. This growth reflects strong execution, including higher sales volume and lower manufacturing cost per pound, driven by raw potato deflation and benefits from our cost savings initiatives. These improvements were partially offset by price and trade to support our customers. In our International segment, adjusted EBITDA declined $21 million to $27 million. This reflects price and trade to support our customers, as well as higher manufacturing costs per pound. These costs include start-up expenses associated with ramping up our new Latin America production facility in Argentina, and increased factory burden and other costs in Latin America and Europe as we work to rebalance supply and demand and manage inventories. Importantly, these costs were partially offset by the benefit of our cost savings initiatives and higher sales volumes. Moving to liquidity and cash flows on slide 14. Our liquidity and cash position remain strong. We ended the quarter with approximately $1.43 billion of liquidity, including approximately $1.35 billion available under our revolving credit facility and $83 million of cash and cash equivalents. Our net debt was $3.6 billion, and our adjusted EBITDA to net debt leverage ratio was 3.1 times on a trailing twelve-month basis, consistent with our commitment to maintaining a solid balance sheet. In 2026, we generated $530 million of cash from operations, up $101 million versus last year, driven by favorable working capital changes, primarily lower inventories in North America and higher earnings. Free cash flow was strong at $375 million. Capital expenditures were $106 million in the first half, down $331 million from last year as we completed major growth investments in facility expansions. Looking ahead, we expect fiscal 2026 capital expenditures to come in below the $500 million target, reflecting disciplined investment and a continued focus on sustaining performance. Turning to Slide 15. We remain committed to returning cash to our shareholders. During the first half of the year, we returned over $150 million, including $103 million in cash dividends and $50 million of stock repurchases. This includes approximately $40 million in stock in the second quarter. We have $38 million remaining under our current repurchase authorization, and year to date, we have repurchased sufficient shares to offset the expected equity plan dilution. In addition, today, we announced an increase in our quarterly dividend to $0.38 per share. Our capital allocation priorities remain clear. We are investing in the business and its capabilities, focusing on areas that differentiate Lamb Weston Holdings, Inc. and support the execution of our strategy. At the same time, we aim to maintain a strong balance sheet and opportunistically return capital to shareholders with dividends and share repurchases. Let's now turn to the outlook on slide 16. We are reaffirming our fiscal 2026 outlook, which includes the contribution of a fifty-third week in the fourth quarter. For the balance of the year, we expect continued volume growth and strong sales momentum. And we are on track towards delivering the high end of our sales guidance range. North America remains solid with second-half volumes expected to grow at or above first-half rates, supported by strong demand and a vast majority of our contract negotiations being complete. International volumes in the second half are expected to be flat year over year as we lap prior year customer wins. As anticipated, price mix will remain unfavorable at constant currency in the second half but to a lesser extent than the first half. In North America, year-over-year price declines are expected to ease compared to what we saw in the first half, while the shift towards lower margin restaurant customers and private label retail customers is likely to persist. In our international markets, we anticipate continued headwinds from softer restaurant traffic, added capacity, and a strong comp. On margins, we expect adjusted gross margin in the second half to be flat to down versus the first half 20.4%, reflecting price mix dynamics and higher manufacturing costs internationally, including ramp-up costs in Argentina and underutilization in Europe as we work to rebalance supply and demand. Adjusted SG&A is expected to continue to benefit from cost savings initiatives. So in the second half, we anticipate incremental investments in innovation and advertising and promotions to support our long-term strategic plan as well as an extra week of expenses in the fourth quarter. Our full-year tax rate is projected at 28% to 29%, with second-half rates in the low 20s. To summarize, given the price mix dynamics and higher manufacturing costs in our international segment, we believe maintaining our adjusted EBITDA guidance range of $1 billion to $1.2 billion is the most prudent approach. We currently expect to finish closer to the midpoint. We remain confident in delivering strong results for the year, supported by strong volume performance and progress under our cost savings initiatives. With that, I will now turn the call back over to Mike.
Mike Smith: Thank you, Bernadette. In closing, we are driving and expect to continue driving volume growth, share gains, and customer momentum. Our customers are turning to Lamb Weston Holdings, Inc. for the quality, innovation, and value for which we are known. Our team is embracing and executing our focused win strategy, including delivering our cost savings program targets. We are optimizing our global supply chain, restarting curtailed production in North America, and working to rebalance supply and demand globally. We are generating strong free cash flow and are increasing our quarterly dividend by 3%. And we are focused on executing our strategy and delivering good results for the year. With that, Bernadette and I are happy to take your questions.
Operator: Thank you. If you would like to signal with questions, please press 1 on your touch-tone telephone. If you are joining us today using a speakerphone, please make sure your mute function is turned off to allow your signal to reach our equipment. Again, that is 1 if you would like to signal with questions. The first question comes from Tom Palmer with JPMorgan.
Tom Palmer: Good morning, and thanks for the question. Bernadette, you made a comment in the prepared remarks about rebalancing supply and demand. It sounded like a temporary pullback in production is anticipated in Europe. In the U.S. last year, there was a plant closure and lines curtailed. I am just wondering, should we start thinking about similar actions in Europe coming into play? So something more substantial than maybe reducing shifts, or are there other actions that can be taken to kind of aid this rebalance? Thanks.
Mike Smith: Hey, Tom. I will take the first part of that, and then let Bernadette comment further. As we said, we have restarted some of those curtailed lines that we had previously curtailed in North America driven by the strong volume. We have also communicated to our employees that we are curtailing a single line in our European market as well. So we are looking across our global supply chain and making sure that we are taking the right approaches to balance that supply and demand globally.
Tom Palmer: Okay. And then just as we think about understood the commentary, I guess, in Europe on some of the pressures. But I did want to maybe focus on North America a bit. As we think about some of the, I guess, volume drivers in the back half and some of the investment in price relative to the first half, should we start to see in 3Q, for instance, more of a seasonal uptick in North America? Or are there items maybe there to consider?
Bernadette Madarieta: Yes. So thanks, Tom. As it relates to North America, a big piece that we need to consider is that it is not only price, but a large component of this is mix. In North America, we are seeing a higher proportion of our business with multinational chain customers as well as we are seeing in our retail channel a shift from branded to more private label. And so, that is what we would expect to continue in the back half of the year, which will affect gross margins as we move forward and is also contributing to what we shared in our prepared remarks of the 20.4% or relatively flat gross margins in the back half of the year relative to the first half.
Tom Palmer: Understood. Thank you.
Operator: And the next question will come from Peter Galbo with Bank of America.
Peter Galbo: Hey. Good morning, Mike and Bernadette. Thanks for the question. Mike, I maybe wanted to actually pick up on the international side. I believe in your prepared remarks, you kind of walked through the dynamics in Europe and Latin America. I did not hear, and maybe I missed, but I did not hear any commentary on Asia and, in particular, some of the Asia export markets. I think there has been a fair amount of trade press just around local competitors in the region not only getting more competitive in home markets but in some of your export markets throughout Asia. So I would just love to have an update from you there on what you are seeing in real-time and whether or not that competition has intensified since we spoke, like, three months ago.
Mike Smith: Yeah, let me thanks, Peter. Let me speak to a few of those markets that you suggested. As Bernadette talked about some of the mix shifts in our international markets, some of that is driven by strength that we are seeing in China as well as APAC. You know, when you look at Europe, there has been a really strong crop, and it has resulted in lower cost raw. And that is on the backdrop of more depressed kind of traffic in those markets. When you look around the globe, there has been some added capacity in some of those developing markets, like you said. And that is putting more pressure on exports out of Europe into some of those markets, which has challenged the price there a little bit. But overall, you know, we believe in the future of the international market. We believe that as we support our customers in those markets, we will continue to drive growth. Argentina and Latin America is another strong area that has high growth rates. And we believe that having that asset down in that market will set us up for future success.
Peter Galbo: Okay. Thanks, Mike, for that. And, Bernadette, I mean, I think the flat to down commentary on the second half gross margin, does that hold for both quarters as well? If I look back at Lamb Weston Holdings, Inc., the history of Lamb Weston Holdings, Inc. as a public company, like third quarter gross margins have been down versus the second quarter, like, twice. It was during COVID, so I do not even know if we count that. So just want to understand if that comment is very much a second-half comment or if it also applies to the third quarter?
Bernadette Madarieta: Yes. Thanks, Peter. The comment that I made in my prepared remarks was definitely for the second half of the year. And then about it, or has the mix impact caused that moderation and maybe lessen a bit? Thank you.
Matt Smith: Yeah. Thanks, Matt. So first, I just want to start off with the strong momentum that we have had in the first half of the year, and North America being our most profitable segment is strong. We expected price mix to be down more in the first half of the year than the second, and we still expect that trend. And as you mentioned, it is just very important to note that the combination of both price and mix is what is affecting our North America segment. And that mix impact has been more pronounced recently with the growth in more chain business as well as that mix shift from branded products to private label.
Matt Smith: Thanks, Bernadette. And so when we think about that mix headwind, should we is that a drag on performance through really this time next year just given how the balance of the business has been performing?
Bernadette Madarieta: You know, we will need to continue to monitor that. Certainly, as it relates to our chain customers, that would continue. We will continue to monitor whether the trend from branded to private label persists, but we would expect that to persist throughout the balance of this year.
Matt Smith: Thank you. I will pass it on.
Operator: And our next question will come from Robert Moskow with TD Cowen.
Robert Moskow: Hey, thanks. I wanted to dig into the decision to open reopen more of your capacity in North America. The wording was a little confusing in the prepared remarks. You said you did it because your facilities are returning to more optimal levels versus the very high utilization rates recently experienced. So are you saying that utilization rates got too high in the first quarter? You need to reopen more of your production lines in order to get them lower. And is there any kind of negative impact to your profitability as a result of that or not? And then secondly, how long do you think this will persist? Is this a permanent decision or not?
Mike Smith: Yeah, Rob. Appreciate the question. You know, we have been focused on driving customer partnerships over the last several months. You know, when you think about where we spend our time, it is around the customer and around driving out costs. And because of that, you are seeing the results of that hard work. You know, volume up 8% in the quarter. As you said, yeah, you know, utilization rates in our North American facilities were in the low nineties. As we grew that volume over the first half of the year, they got to a level where we needed to open up this additional capacity to ensure that we continue to meet our customers' expectations regarding fill rates. The plants are running really well. As you have those lines start to run more frequently, you start to see better run rates, better OEEs, better potato utilization, which is all positive. So we do not expect a drag from a cost basis from turning those lines back on.
Bernadette Madarieta: Yeah, Rob. And if I could just add, you know, the second comment or question that you had was related to the impact on margins. And in the first half, if you think about the results, we had higher fixed burden driven by North America in Q1. And then as we have restarted those lines in North America, we have seen that lessen, but more in international in Q2. In the back half of the year, we would expect there to be a net positive from a factory burden perspective led by North America. As that absorption improves with restarting those lines. But international is going to remain a headwind with Latin America and Europe continuing to carry incremental costs.
Robert Moskow: Got it. And in terms of, like, keeping these lines open, it is for the foreseeable future? There is no it is not a temporary measure.
Mike Smith: Yeah. You know, as we said in the prepared remarks, I think, you know, as I look at the full year, North America is in a solid position, and we are seeing more predictability. And so we plan on having these lines open as we continue to demonstrate our strength with our customers and the volume here in the North American market.
Robert Moskow: Great. Alright. Thank you.
Bernadette Madarieta: Thanks, Rob.
Operator: And the next question comes from Alexia Howard with Bernstein.
Alexia Howard: Good morning, everyone. Can we ask about how you are managing to improve execution through increased discipline, more accountability, and metrics? I know you talked about how when capacity utilization was very high in the last few years. It was very hard to get your arms around all of that. Obviously, you have taken a little bit of a pause on capacity utilization. It is now ramping up again. But what can you manage and monitor now that you may be could not do a couple of years ago, and how is that helping your ability to execute and keep everything flowing smoothly? Thank you, and I will pass it on.
Mike Smith: Yeah. Appreciate it, Lexi. You know, there are a few things that are going on. One, you know, as we have started our focus to win work and really focused on the executional excellence part in our cost savings program, we have put clear accountabilities in place across our supply chain. You know, we are now measuring ourselves on certain KPIs in a number of different areas. And really focused on delivering those at the plant level. You know, we have had Alex partners who participated in some of the work with us. Have helped us put together the right scorecarding and the right tracking in place. And we look at that on a regular basis. We are also investing in additional support in our demand and supply planning to make sure that we execute on a better basis or a more accurate basis moving forward that reduces or adds, I should say, better predictability in the business moving forward.
Alexia Howard: Great. Thank you very much. I will pass it on.
Operator: And the next question will come from Max Gumport with BNP.
Max Gumport: Great. Thanks for the question. Halfway through the year, half of the year, you are left. I am curious what scenarios you are seeing that could still push you to the lower half of your adjusted EBITDA. Asked differently, what prevented you today from raising the low end of the range? Thanks very much.
Mike Smith: Yeah. You know, Max, you know, as I think about it, you know, we are working really hard to deliver commitments and the expectations that we have made. I think as you look at our overall business, we have delivered strong volume momentum. We have made meaningful changes to how we operate, you know, both in our cost structure but also in our operations overall, which we have talked about. You know, I think restarting those curtailed lines in North America is a great sign in that volume that we are seeing come through. So we are really proud of the accomplishments that we have made in such a short amount of time. You know, that said, you know, turnarounds are not linear. Like I said in the prepared remarks, and we are navigating an ongoing competitive environment. You know, we are seeing continued soft traffic. There are continued macroeconomic headwinds. Like everyone is facing. But I will tell you, you know, as I look at it for the full year, I think North America is in a really solid position, and we are seeing more predictability, as I said earlier. You know, when I think about those international markets, they remain a bit more dynamic. We got to manage through that the right way. And you have heard us say this already, you know, there was a lot a good crop in Europe, which has led to lower costs in that market. There remains soft demand around traffic in those markets. And then as capacity has been built in some of those regions around the globe, there are less exports from Europe, which is creating some of the pressure in that market. That is really where the where the where you know, we are seeing the challenge in the future.
Bernadette Madarieta: Yeah. And, Max, just to confirm, you know, in the prepared remarks, we did say that we are expecting to be near the midpoint of that EBITDA range. And again, the factors being price mix headwinds, as well as start-up and ramp-up costs in Argentina along with additional fixed factory burden from underutilization of the manufacturing in Europe. As we work to rebalance supply and demand.
Max Gumport: Great. And to follow-up, I think, obviously, the shares are down meaningfully today. I think part of what is being reflected there is investor concern around if Lamb Weston Holdings, Inc. is not able to raise the low end of the guidance today. On EBITDA, what does that mean for '27? You know, for that lower half of the range. Is more likely than the remainder of '26. Then what does that imply for '27? Does it imply further EBITDA declines next year as well? Is there any commentary you can offer to push back against that just given how the shares are performing right now? Thanks very much.
Mike Smith: Yeah. Here here yeah. Here is what I would say. You know, listen. We are working hard to deliver on our commitments and expectations, and I think we are taking prudence in our guidance to make sure that we deliver going forward. You know, I would say we are still early in the innings in our focused win plan. We just rolled it out five months ago. And, you know, the traffic environment remains a bit challenged. But we believe in our strategy. We have had some great improvements around our business, especially in costs and also building those customer partnerships. You know, a key element of improving our margin over the long term is going to be unlocking additional cost savings. We are well on our way this year. We believe we have the right plan in place to continue to do that in the future. But we will provide more details on what we think those margin targets will be once we are a little bit further along in our focus to win process.
Bernadette Madarieta: Yeah. And just to add, as Mike said in the prepared remarks, North America is our most profitable segment. And it is in a solid position. There are some price mix headwinds in the back half of the year, and there are some incremental costs related to ramp-up but underutilization, and we have already provided an example of actions that we are taking to manage those costs. So for now, we expect to be closer to the midpoint but very important to keep in mind that our most profitable segment, the North America segment, is very strong right now. And international, we are working through those dynamics.
Max Gumport: Thanks very much.
Operator: Star one. We will go ahead and take our next question from Scott Marks with Jefferies.
Scott Marks: Hey, good morning. Thanks so much for taking our questions. Wanted to ask a little bit about the price mix dynamic in North America. Specifically, you highlighted mix impact of that headwind. As it relates to the other side of it, kind of the trade support component, wondering maybe how you are thinking about that in terms of where your support is right now for customers and whether or not you believe there is some incremental support warranted, going forward, or are you comfortable with where levels are right now? Thanks.
Mike Smith: Yeah. Appreciate the question. Listen. We are really focused on driving those customer partnerships and driving the volume. You saw that in the first half of the year. As we mentioned in our prepared remarks, about 90% of those large change contracts have been settled. We will have the rest of our contracts to get settled here over the next couple of weeks. And we feel good about where things are at. As we have gone through that RFP and contracting time period, there have been some customers where we have needed to defend some of the pricing to make sure that we succeed with those customers long term and keep those customers. And those are customers who are driving growth and having success in the marketplace. But as you said, I mean, the thing that I want to make sure is clear is that not all of this is price related. There is a mix component of which Bernadette talked about. And a piece of that is mix between customers within the restaurants also mix with some of those faster-growing QSRs and also some mix in our retail side of the business. We are seeing a shift from branded to private label. But the predictability of our North America business is much better than it has been in the past.
Bernadette Madarieta: And just to make sure that in the prepared remarks, you did catch that we do expect in the second half for the price mix headwinds to moderate slightly as we lap the fiscal '25 pricing actions. So that is important to keep in mind as we look to the back half of the year.
Scott Marks: Understood. Thanks for the answer there. Second question from me, maybe on prior calls, I think you had noted a significant amount of capacity in international markets. Or plans for international capacity that had been paused previously. But it sounds like today, you are talking about there has been actually some added capacity. Wondering if you can just help us kind of square the two, in terms of what, you know, what happened with those projects that were previously paused. Thanks.
Mike Smith: Yeah. Listen. The pace of newly announced capacity has definitely slowed. I think what we have been speaking to is some of the capacity has been added over the course of the last year or so in some of those developing markets. But we believe that, you know, the industry is going to be rational over time. I probably am starting to sound a little bit like a broken record. And we will continue to manage our supply chain footprint, as we have in the past. We believe that when traffic returns, we are going to be well-positioned to benefit from that growth. But, again, you know, we have heard continue to hear of postponements or delays or even cancellations in this market and believe that the environment will be rational.
Scott Marks: Understood. Thanks so much, and happy holidays.
Mike Smith: Happy holidays.
Operator: And the next question will come from Marc Torrente with Wells Fargo Securities.
Marc Torrente: Hey, good morning and thank you for the questions. First, you called out visibility to volume growth in the back half with North America at or above the front half. I just want to get a sense of how much of that is driven by the fifty-third week and how the underlying momentum is against tougher laps. And I guess, what that could look like entering fiscal '27?
Bernadette Madarieta: Yeah. So as it relates to our volume outlook, what we are expecting to see in the second half is that it will be relatively consistent other than the fifty-third week. Again, that is based on the pace of increase in volumes that we have had with some of our chain customers in the first half of the year. As it relates to international, we expect it to be flat in the second half of the year compared with the prior year as we continue to navigate those dynamics markets.
Mike Smith: Yeah. And I have already shared a little bit about where, you know, at the right time, we will come back and talk about where we believe margin will be in the future, but we believe that our focused win plan has us on track and to deliver growth. You know, consumption, if you look at it, is expected to be between 24%. And over the next, call it, five years or so. And you are going to see that higher in emerging markets and lower in some of the more established markets. But I think as we have demonstrated in the first half of the year, we are implementing a strategy that positions us to gain share and really lean into some of those premium segments of the market. So we are really confident in our ability to grow volume with our customers even in a challenged environment or challenged traffic environment that we are seeing today.
Marc Torrente: Okay. And then, yeah, on the traffic front, continues to be soft. Are you seeing anything in November December that suggests any improvement or deterioration? And what are your expectations for trends over, say, the next twelve months?
Mike Smith: Yeah. You know, I think we just saw the November data last night. I think it is very consistent with what Bernadette shared in prepared remarks. Nothing different from that.
Marc Torrente: Great. Thank you.
Operator: And the next question will come from Carla Casella with JPMorgan.
Carla Casella: Hi. Thanks for taking the question. Was just wondering if you could give us a little more color on terms of where you think overall industry capacity for pros and stands and if it varies dramatically by country or region.
Mike Smith: Yeah. You know, I a little bit of that earlier. You know, like I said, you know, we believe that the market is going to be rational over time. I probably sound like a broken record. Said that in several calls over the last couple of quarters, but we have heard of delays and postponements. We have seen some capacity built in some of those developing markets, which is having an impact on exports out of Europe. Especially, given the low cost of raw. But again, there has been some consolidation in the market, and we will continue to see how that potentially impacts the future. But, you know, we believe that this industry is going to be rational and has been. We will manage through it the right way as we are and as you have seen in the first half of the year.
Carla Casella: Okay. Great. I am sorry to ask. I missed part of the early part, but thank you so much for going over that again.
Mike Smith: No problem.
Operator: And the next question will come from William Reuter with Bank of America.
William Reuter: Hi. Good morning. You have made some comments today about focusing on execution. Working with your partners, it sounds like in some instances, maybe you are paying penalties or having to accept pricing that is lower than would be fair based upon your prior missteps. Maybe some of the ERP challenges. I guess, do you believe that this is the case? And do you believe that over time, as you continue to have high fill rates, that you may be able to demand greater pricing from those customers?
Mike Smith: Yeah. I do not think that is the case at all. You know, as we shared, we feel really good about where our North America business is at. You know, in the current macroeconomic environment and with slower traffic or softer traffic, we are winning in the marketplace when it comes to volume. So our customers are turning to Lamb Weston Holdings, Inc. because of that history of innovation, quality, consistency, and delivering on our service, and we are proving that. We spent a lot of time focused on our customers. And when you have the right focus, you see results. And that is what you are seeing in the marketplace right now and believe we will continue to do that in the future. As Bernadette mentioned, yes, price mix was down in our North America business. But it is important to keep in mind that a large sizable portion of that is from mix. Which is driven by some of those shifts from branded to private label and retail as well as some shifts between QSR customers or restaurant customers in the current traffic environment.
Bernadette Madarieta: Yeah. And to be clear, all pricing has been based on competitive market conditions.
William Reuter: Got it. That makes sense. And then with the stock down, you are still below your 3.5 times leverage target. How is this going to inform decisions on capital allocation and potential acceleration of share repurchases?
Bernadette Madarieta: Yeah. So our capital allocation priorities remain consistent with what I shared in my prepared remarks. We are focused on spending capital. We will always where we need to spend to deliver our strategy and our business. As we have in the recent past, look at opportunistic share repurchases. You know, nothing will change there. But we are focused on delivering our capital allocation strategy, which includes investing in the business and returning cash to shareholders.
William Reuter: Great. Happy holidays. Thanks.
Bernadette Madarieta: Happy holidays.
Mike Smith: Happy holidays, everyone.
Operator: Thank you. And that does conclude the question and answer session. I will now turn the conference back over to Debbie Hancock.
Debbie Hancock: Thank you, Justin, and thank you, everyone, for joining us today. The replay of the call will be available on our website later this afternoon. Have a great rest of your day, and a happy holiday season. Thank you.
Operator: Thank you. That does conclude today's conference. We do thank you for your participation. And have an excellent day.